Operator: [Foreign Language]. Good afternoon. Welcome to the conference call for the fiscal year 2014 fourth quarter earnings results by SK Telecom. This conference will start with a presentation, followed by Q&A session. And now we will begin the conference of the fiscal year 2014 fourth quarter earnings results by SK Telecom.
Jeong Hwan Choi: [Foreign Language]. Good afternoon. I am Jeong Hwan Choi, the Head of the IR team. Today's conference call will consist of the presentation and the earnings results for Q4 2014 and the future management plans and strategic direction by Executive Vice President of Strategy and Planning Division, Keun-Joo Hwang, followed by a Q&A session. To help deepen your understanding, we also have here with us executives from the relevant business units. Today's call will provide consecutive interpretation. Let me also remind you that all the forward-looking statements are subject to change depending on the macroeconomic and market situation. Let me now present Mr. Keun-Joo Hwang.
Keun-Joo Hwang: [Foreign Language]. Good afternoon. This is Keun-Joo Hwang, Executive Vice President, Strategy and Planning Division at SK Telecom. In the year 2014, SK Telecom further strengthened its competitiveness in the telecom business, leading the market with innovative products and services and started to shift the paradigm of competition. As part of that effort, SKT enhanced customer value by introducing new services such as the T Phone, unlimited membership, and T Kids Phone to better meet the market's needs, and commercialized the world's first three-band LTE-A, thereby further solidifying SKT's LTE leadership. SKT has also expanded the B2B solution and IPTV businesses, as well as strengthened the foundation for the healthcare business, creating tangible results in the three major growing areas. The Company also developed new opportunities for growth in global and convergence businesses which include the opening of the Medical Center in Shenzhen, China, as well as acquisitions of iriver. Let me now discuss the earnings highlights for Q4 and 2014 on a consolidated basis. Revenue for Q4 2014 recorded KRW4,289 billion, down 1.8% quarter on quarter, mainly due to the lowered connection fee and its retrospective application. The annual revenue reached KRW17,163.8 billion, gaining 3.4% year on year, backed by a larger LTE and unlimited data price plan subscriber base. Due to the seasonality of the fourth quarter, the operating income and EBITDA recorded KRW490.1 billion, down 8.7% quarter on quarter, and KRW1.24 trillion, down 1.4% quarter on quarter, respectively. On an annual basis, due to an overheated market at the beginning of the year, the operating income came in at KRW1,825.1 billion, down 9.2% year on year, and EBITDA at KRW4,716.7 billion, down 2.4% year on year. Net income for Q4 recorded KRW503.4 billion, down 5.2% quarter on quarter, and KRW1,799.3 billion for the year, up 11.8% year on year, due to equity method income from SK Hynix among others. The parent-only CapEx for SKT recorded KRW2,144.7 billion, which was a 7.4% decrease year on year and in line with what was guided at the beginning of the year. Going forward, CapEx will continue to stabilize in the mid to long term, thanks to technology development and efforts to enhance investment efficiency. With that, I will now move on to our management plans and strategic direction for 2015. SK Telecom will prioritize enhancing enterprise value above anything else, enhance efficiency by improving our business practices and fundamentals, as well as identify and nurture a diverse business portfolio for future growth. In 2015, SKT aims to continue the growth of our LTE subscriber base, expand new products and services, and achieve tangible results in growing business areas, including media and solution, thereby achieving a revenue target of KRW17.9 trillion, up 4.3% year on year. Meanwhile, SKT's parent-only CapEx will be spent within KRW2 trillion as we continue to strengthen our leadership in wideband LTE technology and high-quality service. In the telecom arena, 2015 will be a year to further solidify SK Telecom's position as the market leader, with even stronger core competitiveness, by introducing more innovative and differentiating products, thereby shifting the focus of the competition paradigm to customer value. Thanks to continued expansion of the LTE service and an improved environment for data usage, ARPU increased by over 4% annually for the past two years. We believe that this growth for ARPU will continue into 2015 through enhanced customer benefits, greater multimedia content usage, and high-quality products and services befitting the evolved network environment. Also in response to internal and external environment changes, as well as the advent of IoT, SKT will proactively pursue structural changes and innovation and secure a global top level of competitiveness and efficiency. On top of stronger results in current growing business areas, SK Telecom will create new business models and success stories by leveraging our core strengths such as the subscriber base, big data and distribution network. These growing areas will be strictly judged from an enterprise value-oriented approach and nurtured through selection and concentration to become the foundation for new enterprise value. The B2B solution business, which achieved a 20% revenue growth last year, will be accelerated to reach KRW700 billion in revenue this year, which is a 40% year-on-year increase. SKT will also focus on IoT-based B2B solutions and M2M line-based IoT platform business, and we expect a two-fold revenue growth year on year in other major areas such as security, energy savings and cloud. As for IPTV, 5.2 million fixed mobile subscribers have been secured as of the end of 2014, positioning SK Telecom as a major pay TV player. In 2014, 1.56 million new subscribers used mobile IPTV, reaching 2.37 subscribers in total by the end of the year. In 2015, the subscriber number will reach our target of 7 million as we pursue a more diverse business model based on media, including commerce. Tangible results were created in healthcare as well with the FDA's approval of in vitro diagnostic devices last year, entering into the Chinese healthcare market, and the first medical solution export. Going forward, we will strengthen healthcare capabilities and pursue global businesses, focusing on IVD devices, thereby establishing a foundation to further enhance the enterprise value. SKT is also tapping into new business models in device and platform business areas based on the IoT trend. In the case of iriver which was acquired last year, the brand has been establishing itself in the high-end audio market and expanding its territory into the global market, as well as the accessory market. SK Planet has achieved meaningful results both at home and abroad, including the launch of Syrup in 2014, acquisition of the US-based Shopkick, and the continued growth and global expansion of its open-market 11th Street, laying the foundation for next commerce that brings together the online and offline world. The gross merchandise value, or GMV, of mobile 11th Street grew by more than 14% year on year, and in the global market, Turkey's 11th Street and 11.com, ranked number one in GMV during the fourth quarter and is continuing its success onward. SK Planet will continue its growth into a global leading company in the commerce arena and remain on track to achieve an enterprise value of KRW5 trillion by the end of 2016 through greater synergy with SK Telecom in the platform area, including T Store and T Map. Lastly, I would like to discuss shareholder return. Including the already paid out interim dividend of KRW1,000, the cash dividend for 2014 of KRW9,400 per share will be paid out upon approval of the Board of Directors and the General Shareholders' Meeting. In 2015, SK Telecom will prioritize maximizing enterprise value, and in that context, we will be reviewing the shareholder return policy in a flexible manner to increase our shareholders' value. SK Telecom has announced the Vision 2020 in which we stated our goal to reach an enterprise value of KRW55 trillion by the year 2020. However, through our innovation efforts explained today, we are aiming to achieve this target earlier. We will continue to closely communicate with the markets throughout the process as our strategy becomes more concrete. I ask for the continued support and interest in SK Telecom from all investors and analysts going forward. Thank you.
Jeong Hwan Choi: [Foreign Language]. We will now begin the Q&A session.
Operator: [Foreign Language]. Now Q&A session will begin. [Operator Instructions]. The first question will be provided by Jong In Yang from Korea Investment Securities. And the next question will be provided by Hue Jae Kim from Daishin Securities. Mr. Yang, please go ahead, sir.
Jong In Yang: [Foreign Language]. Yes, thank you for the opportunity to ask questions. I have two questions for you. The first has to do with the new management. I would like to ask you about the new management's strategies going forward for the Company. Currently there are many different changes and variables in the industry, including the Handset Distribution Act, so I'd like to hear from the new management perspective on the strategy going forward. And I also would like to know what changes you'll bring about in the picture. My second question has to do with the impact of the Handset Distribution Act on the ARPU in the fourth quarter. And I also would like to ask you what you think the impact would be for the 2015 as well. And I'm asking this question because there are some concerns that, after the implementation of the Handset Act, among the new subscribers, there aren't many high-end ARPU customers.
A –Keun-Joo Hwang: [Foreign Language]. Yes, thank you for your question. So I will go ahead and answer the two questions that you've asked. Now, first, let me talk about the new management's direction for SKT in the year 2015. We will maintain the existing Vision 2020. However, through disruptive innovation, we will take on a very strong drive to achieve the enterprise value of KRW100 trillion earlier. And utilizing SK Telecom's core competitiveness which include our strong subscriber base, the mobile network and big data, plus our capabilities of subsidiaries including SK Planet and SK Broadband, we will make sure to find the next growth engine that can be comparable to the telco. And to achieve this, we will take on a full-scale drive to base our platform business on the subscribers. SK Telecom will be in charge of the [M&O] subscriber-based platform business, and SK Planet will be in charge of the OTT business, which does not discriminate networks. On top of this, we will also maximize the synergy between SK Telecom and SK Planet. The major areas of SK Planet's focus, in terms of their business, to achieve their enterprise value, will first be based on the next commerce arena which connect the two online and offline worlds. And the second one would be the marketplace based on their current open-market business. Secondly, we will actively pursue with our new growing businesses. With our main areas, including the IPTV solution and healthcare, until now we only were focused on finding the feasibility of these businesses. However, going forward, we will implement the selection and concentration method to make sure that we achieve a qualitative growth. On top of that, with the advent of the IoT as well as the ICT convergence trend, in order to maximize our enterprise value, we will focus on the new growth area and we will make sure that we are fully prepared and that we take bold steps. Lastly, we will focus on growth through innovation on our [M&O] sector. In our [M&O] business, as we enter the era of Internet of Things and as we respond to various changes in the environment relating -- including the regulatory changes, which include the Handset Distribution Act, we will make structural changes so that we may attain a global top level of competitiveness and cost efficiency. And with that for your first question, I will now move on to the second part of your question. You asked about the impact of the Handset Distribution Act on ARPU, as well as the outlook for this year. In the era of LTE, getting our subscribers to subscribe on higher tariff plans can only be made possible by providing our subscribers with [good] value. SK Telecom will continue to strengthen our capabilities in this area, and in 2014, we have provided greater value to our customers, including the launch of the [Premium Pass] as well as Club T services. And through these efforts, we believe that we will be able to maintain our current capabilities of upselling the tariff plans as well as maintain the current high-ARPU customers. And with this, I would like to present to you the Head of the Marketing to answer your question a little bit further.
Unidentified Company Representative: [Foreign Language]. Hello, this is the Head of the Marketing Strategy. And since the enactment of the Handset Distribution Act, the, quarter on quarter, the level -- the people subscribed to the higher-end tariff plans did decrease a little bit. However, when you look at the data traffic per LTE user, this has actually increased. So I believe that by creating and providing more value to our subscribers, we will be able to maintain a higher level of tariff plans. And as a result, I believe that in 2015 we can see an ARPU growth similar to the level of 2014.
Operator: [Foreign Language]. The next question will be presented by Hue Jae Kim from Daishin Securities. And the following question will be presented by Hak Moo Lee from Mirae Asset Securities. Mr. Kim, please go ahead, sir.
Hue Jae Kim: [Foreign Language]. Yes, thank you. I have two questions also. The first has to do with SK Telecom's M&A strategy. You have acquired NSOK and iriver last year, and recently LG Uplus has announced its intent to participate in acquiring Ticket Monster as well. In the conference call, LG Uplus said that they're now looking to actively review M&A options which wasn't the case until now. So I would like to hear about SK Telecom's M&A strategy going forward. My second question has to do with the data traffic which is crucial to revenue in [M&O]. I know that the data traffic per user has exceeded 3 giga, so I'd like to know how you expect this number to increase too in the year 2015? And also, what are you some of your killer contents that you have in mind?
Keun-Joo Hwang: [Foreign Language]. Thank you for your questions. I'd like to first respond to the M&A strategy of our Company. With the IoT era and with greater converge in ICT, the overall environment regarding competition and the value chain is expected to change dramatically in the future. So we now live in an era where companies can no longer continue with their old ways and they cannot focus on a single business area and they certainly cannot do everything by themselves. And to achieve -- to enter into new markets as well as create new business models, SK Telecom wishes to actively review various options for growth and for inorganic growth, including M&As, equity investments and strategic partnerships. And to do so, SK Telecom will review disposable resources, prioritizing the maximizing of enterprise value above all else. And regarding these processes, we will make sure to achieve a consensus with our investors and the markets going forward. Now let me address the second question. Which is the traffic outlook for 2015 as well as our killer content. First of all, when you look at the data traffic for per user, it was 1.8 giga in 2012, 2.0 in 2013, and 3.0 in 2014. And based on our own projections, we believe that in 2015 this number can reach up to 3.8 giga. And as for the killer content, as we are in the LTE era, SK Telecom will provide our customers with various contents, including high-resolution multimedia and mobile-based application. And also by the end of 2015, we project that the overall data traffic will increase year on year by 40%. That is the answer to your question.
Operator: [Foreign Language]. The next question will be presented by Hak Moo Lee from Mirae Asset Securities. And the following question will be presented by Hong Sik Kim from Hana Daetoo Securities. Mr. Lee, please go ahead, sir.
Hak Moo Lee: Thank you. I also have two questions. The first has to do with the marketing cost expenditure pattern and the strategic changes since -- before and after the enactment of the Handset Distribution Act. I would like to hear about the overall marketing cost changes and your changes to the strategy relating to this area. And I would also like to know if there have been any changes regarding the pattern of your marketing cost expenditure. And plus, I would like to know if there have been any changes in the subscriber acquisition cost. My second question has to do with the platform business, because I do believe that the platform business will be the key to achieving future growth. So I know that you briefly mentioned upon this during your presentation, but I would like to hear more about it in terms of the outlook for your platform business.
Keun-Joo Hwang: [Foreign Language]. Thank you for your question. Let me address the first one. First, if the effects of the Handset Distribution Act were achieved as was initially intended, I believe that overall competition will shift away from just being focused on the subsidy themselves to one that is based more on the core competitiveness of the players, including products and different price plans. Of course, it cannot be predicted that with the enactment of the Handset Act, at once, the subsidy level will decrease and actually lead to the enhanced profitability, we cannot say that for sure, however, when our core competitiveness is enhanced and when the market order becomes more stable, we believe that the overall market environment will become more stable as well as more predictable. In the case of SK Telecom, when you look at the fourth quarter numbers for our subscribers on the handset replacement subscribers, and the subscriber acquisition cost per user, quarter on quarter, increased by 21% and this was due to the increase in subsidies as a result of the Handset Distribution Act. And for the [SAT] number, in Q4, it is about KRW250,000 which was a 13% increase quarter-on-quarter. And this had to do with the increase in incentives to our dealers. However, once the rebate situation becomes more stable, we believe that the [SAT] number itself will also be a little more stable. Now, let me move on to respond to your second question, which has to do with the platform outlook. And to answer this question, I will focus on SK Planet. SK Platform will continue its strong growth in the next commerce area focusing around O2O services, as well as its open market place. In the field of next commerce with the Syrup Service which was launched this past June, we will strengthen related industries in the domestic market and as for our global markets, with the acquisition of Shopkick, we will make sure to lay the foundation for growth in this area as well. And as for the marketplace area, domestically, we will make sure to solidify our leadership with the mobile 11th Street as well as Shocking Deal and when we turn to the global arena, we have been -- we have been seeing tangible results in Turkey's N11.com and Indonesia's [11 Yes] and so we will continue to achieve tangible results in the global market as well. That is the answer to the question.
Operator: [Foreign Language]. The next question will be presented by Hong-sik Kim from Hana Daetoo Securities and the following question was presented by Jee-hyun Moon from KTB Daewoo Securities. Mr. Kim, please go ahead sir.
Hong-Sik Kim: Yes, I also have two questions. The first has to do with the frequency band allocation, and due to the how -- discussions over how the 700 mega band will be used, currently, the allocation options is being delayed, do you believe that the auction will take place within the year and I also like to know what this would mean to SK Telecom. My second question has to do with shareholder return. Recently, SK Hynix disclosed their dividend and I was curious as to whether the new management has any plan to return what was given from Hynix as their dividend back to your shareholders. And I would also like to ask if you are reviewing options to increase your interim dividend at all as well as if you have any plans for any share buyback.
Keun-Joo Hwang: [Foreign Language]. First, thank you for your question. Let me first address the question about frequency band. If the auction scheduled is planned to happen according to the Mobile Gwanggaeto Plan 2.0 by the Ministry of Science, ICT, and Future Planning, SK Telecom has every intention to acquire additional frequency band. Going forward, we expect an acceleration in terms of the increase of LTE data traffic. However, we believe that as of now, we will be able to accommodate the growth in data traffic with the current LTE frequency band that we have at SK Telecom, and however, if we take into consideration the growth in LTE data usage as well as the decrease in 3G subscribers, we do have plans to partially use the 2.1 GHz band for LTE. And regarding the frequency band auction, I would like to present the head of CR strategy to answer your question in a little bit more detail.
Unidentified Company Representative: [Foreign Language]. Yes, this is the Head of CR strategy and I will address your question. Regarding the 700 mega, currently, the government is going through discussions as to how they will use this frequency band. And we are expecting a reasonable policy to be achieved going forward. And as for your question regarding if we think that the auction will be delayed, this depends on the policy of the government so I think it will be difficult for us to give you a straight answer. And with this auction, in 2015, the government policy states that the frequency band allocation auction is in schedule and so when that happens, SK Telecom will actively participate and acquire needed additional frequency band. 
Keun-Joo Hwang: [Foreign Language]. Next, let me move on to respond to your question regarding shareholder return. Until now, SK Telecom has worked hard to strike a fair balance between investment and shareholder return and going forward, we will base ourselves on this principle to maximize enterprise value. First, when it comes to cash dividend for 2014, this will be -- this will maintain the level of the previous year. However, in the case of 2015, as part of our shareholder-friendly policies, within the year, we will positively review various options that include share buyback and increase of our interim dividend. And when it comes to the annual cash dividend level, we will take on a flexible approach taking into consideration various factors including room for investment in growth and cash flow. And as for your question regarding Hynix' event, if SK Hynix continues to give out a meaningful amount of their dividend, we will review the usage of the cash flow that results from our dividend payout. However, we -- our basic principle is that we will through to find what is the very best for us to be able to maximize our shareholder value. Thank you.
Operator: [Foreign Language]. The next question will be presented by Jee-hyun Moon from KTB Daewoo Securities and the following question will be presented by Sam Min from Morgan Stanley. Ms. Moon please go ahead ma’am.
Jee-Hyun Moon: [Foreign Language]. I also have two questions. The first is you spoke of your revenue targets for the year 2015 and I think when you were telling us the target revenue, you were focused on the new business area as well as the results of your subsidy -- your subsidiaries. And I would like to know what you believe the impact will be on their numbers to your margin. My second question is regarding the enterprise value you spoke often about the platform business. And last year, the most prime example of a platform service that you launched was the T Phone service. So regarding the T Phone service, I would like to know the current monetization update and also, with your plans to achieve SK Planet enterprise value of KRW5 trillion, I want to know if you had any plans to list the company. 
Keun-Joo Hwang: Thank you for your question, let me first address your question regarding T-Phone, first of all, T-Phone is SK Telecom's communication platform and we have, up to now, 4.6 million subscribers. In 2015, by utilizing business models that include the T114 service, as well as the video calls and our search business models, we plan to achieve monetization during the second half of the year. I will now have the head of our product planning division to address your question a little bit further. 
Unidentified Company Representative: [Foreign Language]. Hello, I am the head of the product planning division. First, as Mr. Hwang mentioned, the T Phone service secured 4.6 million subscribers, and this year, it is the second year of the launch of our service and we will continue to secure more subscribers. And we will also realize tangible results in term of profit through platform play. As of now, it would be difficult for me to provide you with the exact numbers regarding the profit, however, if there are tangible results in the second half, you will be able to see the results that befit a second year platform player. That is my answer to the question. Thank you.
Keun-Joo Hwang: [Foreign Language]. Let me now address the question regarding the impact of the growing business on the margins. There are many business areas that SKT has focused on which include IPTV solution and healthcare, and also we have various services that befit the trend of the IOT area. Of course, the margin, the initial margin in these areas are bound to be lower than that of the M&O business. However, it is definitely gradually improving and I believe that there is a very positive signal going forward as well. And now, to answer the question about our plans to list SK Planet. I will have the executive from SK Planet to answer your question directly. 
Im Jeong Hap: [Foreign Language]. Hello, I am [Im Jeong Hap] the head of SK Planet's finance management team. First, when it comes to the O2O area, where the online and offline worlds are connected, and benefits are created for the users, we definitely see potential room for growth in both domestic and overseas markets. SK Planet has already been working hard to achieve a strong --establish ourselves in the areas of commerce and mobile and different countries which include the United States, Singapore, Japan, and Turkey, and we are planning -- we are reviewing various options to achieve further growth. Currently, at this particular juncture, we do not have any plans to list the company, however, I believe that the schedule for listing, the Company will have to go hand in hand with when we will be able to see tangible results in our O2O area. Going forward, in partnership with many involved shareholders, SK Planet will continue our plan to become a true global company. 
Operator: [Foreign Language]. The next question will be presented by Sam Min from Morgan Stanley and the following question will be presented by Sean Oh from Merrill Lynch. Mr. Min, please go ahead sir.
Sam Min: Yes, hi, thank you. I have two questions. The first one is on dividends and so, am I -- are we correct to understand that you will be paying higher dividend this year in 2015? We just don't know what amount that will be or what form it will be? But you all right confirming that it will be higher dividends this year than last year of cash dividend 9,400. So that is my first question. My second question is on marketing environment and in regards to the first quarter, in particular, subscriber acquisition cost has risen quite a bit. With LGU doing so well on iPhone 6, it appears that the overall market in terms of volume continues to increase thereby helping the mix improvement for LGU with Iphone users. Which they think will benefit them over the course of this year. And do you project much tougher marketing environment this year relative to last year?
Keun-Joo Hwang: [Foreign Language]. First, thank you for your question. Let me first address the question regarding the cash dividend. First of all, I want to say that currently, we are positively reviewing this. However, we are taking into consideration various factors including a room for growth for SK Telecom as well as the cash flow and we are reviewing this actively right now. But I would like to end with saying that I hope that you can hold on and wait until it is finalized. And next, I will address the question regarding the marketing environment of 2015. I think it would be better to hand over the mic to the marketing executive that is here.
Unidentified Company Representative: [Foreign Language]. Hello, this is the head of the marketing strategy. Let me address the part where you asked about LG U plus' launch of the Iphone 6. Actually, LG U Plus, I'm sure you heard that during the conference call, they projected the market size of Iphone 6 to be 2.5 million subscribers and they said that they wished -- they plan to take away 30% of this share. In the beginning, there was a lack in terms of the supply for iPhones in the overall Korean market and however, we have accumulated various knowhows and expertise as we have launched the Iphone in the past so I believe that SK Telecom will be able to maintain a strong upper hand. Thanks to the launch of the Iphone 6, SK Telecom has the largest number in terms of the Iphone 6s sold and recently, this gap is, in fact, widening. Recently in January, the market share exceeded over 40% and we believe that this trend will continue into 2015 as well. In 2015, under the environment in which the Handset Distribution Act is more -- becomes more stabilized in place, we will make sure to cater to our customers' needs in order to enter new markets and to strengthen our retention. And we believe that the competitiveness structure of all players in the market will change and so we plan to respond in the adequate manner. Currently, many dramatic changes are going on in the market in terms of competition as we speak however, once the adequate competition order is in place, I believe that it will actually be an opportunity for us. Thank you.
Operator: [Foreign Language]. The next question will be presented by Sean Oh from Merrill Lynch, and the following question will be presented by Dan Kong from Deutsche Bank. Mr. Oh, please go ahead sir.
Sean Oh: [Foreign Language]. Yes, I have a couple of questions. The first has to do with the LTE subscriber number as well as penetration for the new year. I would also like to know if there have been any changes to the LTE ARPU during the third quarter and fourth quarter and I would like to know your outlook on the LTE ARPU for the year 2015. Especially, as your LTE subscriber penetration is increasing, I am interested in this number. And lastly, it seems that competition has not died down significantly and so I would like to ask when you think that would happen and if it could happen, how?
Keun-Joo Hwang: [Foreign Language]. Thank you for your questions. First, let me address the outlook on the LTE subscriber number. As of the end of 2014, the LTE subscriber share out of our total subscribers stood at 58%. And we project that this number will increase up to 65% by the end of this year. And when it comes to ARPU growth for the year 2015, we believe that it will be similar -- that it will maintain the level of last year which was 4.5%. The LTE ARPU of Q4 of SK Telecom was around mid-40,000 levels which was not a dramatic change from that of the third quarter. Of course, with our LTE penetration reaching 60%, there are more subscribers using our low - mid to low end smartphones and as a result, we have more subscribers subscribed to lower ARPU plans. However, the overall smartphone ARPU is now stable in covering over 40,000 level and as we are providing our customers with various new exciting content, we believe that the LTE ARPU will stay stable around mid-40,000 levels. And to answer your third question regarding when and how the dying down of the competition in the market will take place, I will have the marketing executive answer.
Unidentified Company Representative: Hello, this is the head of the marketing strategy. I have seen that in January this year, the competition seems to have become a little bit overheated. I believe that the fundamental reason of an overheated market has to do with the power struggle between the players. And I think we can expect a stabilization in the markets soon, taking into consideration risks related to GR as well as the each telco operator's yearend target. Thank you, Mr. Sean.
Operator: [Foreign Language]. The next question will be presented by Dan Kong from Deutsche Bank. Mr. Kong, please go ahead sir.
Dan Kong: Thank you. I have two questions. The first has to do with your guidance. You guided that the ARPU will grow about 4% and you also said that the revenue will also grow about 4%. When we take into consideration your growing new businesses, where would this ARPU come from? Should I think that it is because the lower end subscribers are moving on to the MVNO services? My second question has to do with your subscriber number. You said that the overall data traffic will increase by about 40% and however, you said that the usage traffic per person may increase about 30% and so I would like to know where that discrepancy comes from.
Keun-Joo Hwang: [Foreign Language]. Let me have our executive heading the strategy office answer your first question.
Unidentified Company Representative: [Foreign Language]. I think your question has to do with how the ARPU increase and the growth increase quite does not add up with the revenue increase level when taking into consideration the growth on our new businesses. And I think that you can find the answer here regarding the discrepancy in the numbers in the interconnection revenue. And as I understand, your second question has to do with why the overall data traffic would increase by 40% and the per user data traffic by 30%. And as I briefly mentioned before, I think the unbalance comes from the increase of our LTE users who use data traffic a lot more relatively. That is the answer to the question, thank you.